Operator: Ladies and gentlemen, thank you for holding and welcome to the SBM Offshore Full Year 2020 Earnings Update. At this moment all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. Just to remind you, this conference is being recorded. I would like to hand over the conference to Mr. Bruno Chabas. Go ahead, please.
Bruno Chabas: Thank you, operator, and welcome to the SBM Offshore full year 2020 earning update call. Thank you for joining us today. My name is Bruno Chabas, CEO of SBM Offshore. And I'm joined today by my Management Board, Philippe Barril, COO; Erik Lagendijk, CGCO and Douglas Wood, CFO. I would present the general strategic update of the company, after which Douglas will talk to you through the financials. As always, we welcome your question after the prepared section of this call. On the next slide, please note the disclaimer as usual. So I would like to highlight that defines SBM Offshore value platform today. And let's start with the ocean infrastructure platform with our Lease and Operate portfolio. This contractual backlog give us visibility to 2045 with associated substantial cash flow generation, all sustained by the quality of operations. Secondly, lead the growth opportunity in our core business with our key transformation programs, Fast4Ward and eMission Zero. These programs address the need for fast and reliable delivery. While reducing the emission per barrel produced and cost. We are positioning the company to renewable in world class deepwater development. We have a positive outlook in the deepwater market segment given the quality of these assets. And lastly, the third value platform is the new energy business centered on renewables, gas and digital services. It provides SBM Offshore interesting opportunity to play an active role in the energy transformation. We're playing this role by leveraging our extensive offshore experience technology and know-how, but more o this later. All this value platform are supported by our talented and dedicated employees. Our unreliable technology and our innovation capacity based on our experience. Now let's turn to the highlights for the year. In general, despite the challenging year for everyone, we showed exceptional resilience with robust performance made the company stronger in order to address future market fluctuation in local market and promote in our energy transition ambition. So we started by navigating the crisis. COVID-19 impacted our operation and still impacted our operation and execution and forced us to adapt on ways of working. We implemented safety measures to protect the health of our employees and to minimize COVID-19 cases. We accelerated the use of digital solution within the offices, yards, shore bases and offshore following travel restriction. We accelerated the company transformation to adapt to the new energy market environment. All of this led to performance, all our teams stood up and faced the challenges. We managed to navigate the crisis as a result. We safeguard business continuity with project execution on [indiscernible], including the delivery of two Fast4Ward hulls and turret project. We maintain the performance and operation of our fleet with strong HSSE and ESG results and we increase and deliver on our guidance. All of this led to the tradition in action. The pandemic cause acted as a catalyst for transformation. Our restructuring program supports the rejection of our breakeven points, and show that we can do -- be more flexible, competitive and agile. This is essential as we entering the period where the energy business would experience increasing demand fluctuation, but at the same time provide significant growth potential over the coming few years. Our position is on track with good progress on our product transformation programs. This supports growth in our core FPSO as well as the promising market of renewables and gas. So turning now to our license to operate with HSSE and sustainability performance. And let's start with HSSE. Looking back, we see what this trend in terms of continuously improving our safety performance compared to the industry benchmark, as SBM Offshore ranks top quartile. Of 2020 Total Recordable Injury Frequency Rate landed at 0.10 which represents a further compared to an already good performance prior years. This performance is even more remarkable in the context of the COVID-19 pandemic, which increase our operational complexity and risk. We saw example, management of issues arising from fatigue. Despite these good results, safety can never be taken for granted, especially in our industry. So let's turn to sustainability performance. And with respect to our sustainability ambition, at the end of show showed good performance on two metric. First, with the external recognition of our ESG strategy, with improving third quartile rating from several independent ESG rating agencies; secondly, through. strong achievements related to ambition targets with -- ambitious targets we set and communicated at the start of the year. SBM Offshore continue to embed sustainability in this strategy creates transparency on this target and performance against those. 10 targets was set, covering six sustainable development goals. We are pleased with the progress made within the different area whereby the company has met all its targets. I would like to take to highlight a few of the achievements. Our priority is to reduce emission of greenhouse gases. In 2020, our efforts led to a 36% reduction of mass of gas flared on SBM account. Emission from the FPSO Liza Destiny who joined the fleet at the end of 2019 will be included in the target from 2021 onwards. In 2020, she faced challenges related to gas compression during the start-up phase. Although remissions we are not included in the initial targets for 2020, we decided to take into account performance in the scorecard, which determined employees and management short-term incentives. Another 2020 example is a dedication of more than 50% of our R&D budget to non-carbon technology. Our sustainability approach is an integral part of our strategy, and we will continue to target improvement and be transparent on our performance. As mentioned, improving our greenhouse gas emissions footprint is a key priority for SBM Offshore. The company works to-date resulting in roughly 68% reduction of the flaring intensity of our fleet when comparing 2016 and 2020. This metrics consider operating SBM Offshore to provide like-for-like comparison. The significant improvement was possible thanks to the digitalization supporting improved for sustainability and gas compression of time as well as integrating new generation vessel in the fleet, which deliver improved carbon efficiency. The objective going forward is to further reduce our emission intensity by for example, improving power generation efficiency, further improving vessel performance and reducing tank venting. Finally, the challenges we uncertainly experience in the gas compression startup or the FPSO Liza Destiny has now been implemented in our lesson supporting development of a future project product and operation. This demonstrates or continuously improvement drive and full lifecycle approach by taking improvement opportunity from operation into the design of new FPSO end products. Over to a market outlook now. Although COVID-19 has caused considerable pressure in the energy business, all look for deepwater oil production remains positive in all scenario. Earlier in 2020, there was significant uncertainty in clients demand. Although a lot of uncertainty remains, we currently notify you on 25 potential awards in the next three years. Of this 25 potential award we have allied to the one with the breakeven price lower than $40 per barrel, which is where the world class deepwater projects are -- our target market for large size, complex FPSO has very competitive breakeven prices and prove resilient in difficult market conditions. Despite uncertainty, but positive market condition, we reach the way that we would remain seductive and disciplined. We continue to carry a capacity of winning two plus awards per year in order to deliver projects in line with commitment to secure long-term value for our clients and to all of stakeholders. This one's related to a portfolio of six FPSOs under different construction stages in any given year. Looking at where market activity is restarting, we see worldwide opportunity. The key markets for large sized complex units were mainly concentrated on Latin America are markets for SBM Offshore. So let's turn to the new energy market and specifically to floating offshore wind. This market is very promising. And it is projected to grow fast, not only short-term, but also longer term. SBM will seek to play an active role and capture opportunities here with this technology now being deployed in the EDF Renouvelables project. Over the next 10 years, we believe the industry will have developed up to 12 gigawatts in floating windmill for more than 20 projects around the world. Our new energy team is actively engaging with relevant stakeholders, clients, developer, potential partner, and equipment manufacturer focusing on the area described in the maps throughout the world. So let's turn to our strategy next. During the crisis our vision has been consulted and remain unchanged. As a reminder, SBM Offshore believes, the oceans will provide the world with safe, sustainable, and affordable energy for generations to come. We share all our experience to make it happen. This vision essential to the company's long-term evolution. We deliver unrivaled technology to the world's energy market today in deepwater oil project. We expect the energy market to go through a transition phase using gas as a cleaner energy source with renewable energy becoming predominant in the long-term. So our technology industry position, this energy will bring many opportunity for SBM Offshore to capture and to play an active role. Our strategy to reach this vision remains consistent around optimize, transform and innovate. And to optimize, the company accelerated this restructuring program, which allow us to lower our breakeven points to ensure we are more competitive, selective and agile. During the execution thing, we aim to continue to build on our track record of delivery on time and within budget. We delivered [indiscernible] turrets on time to our clients in 2020 and this despite COVID-19. We have three major projects under construction, namely FPSO Liza Unity, FPSO Sepetiba and FPSO Prosperity. With on track as well as two Fast2Ward hulls under construction, which are progressing in line with schedule. During the operational phase, we then focus on delivering our backlog. We focus on maintaining uptime to our clients. A track record is world-class, on average 99% uptime. Our strong backlog in. in lease and operate results in a strong cash generation for the company and its shareholder with limited operational risk. Our focus continues on further optimization in the area of cost and emission. Under transform, we are developing the FPSO of the future with lower carbon intensity, increased delivery certainty and low of cost. Our two main transformation programs Fast4Ward and emissionZERO are progressing in order to address clients' requirements. Our Fast2Ward program was launched in 2014 and continue to embed learning which continued to bring further reliability in schedule and cost advantage. Supporting our outlook, we recently order of six Fast4Ward® MPF hull. The eMission Zero was launched in 2020 and has matured to program targeting near zero emissions from operations, in line with clients and other stakeholders net zero emissions. Digitalization remains an important element of our transformation strategy, you will support, enhance and facilitate all aspects for our business. So more on emissionZERO. The most effective way to eliminate emissions is to capture or remove CO2 from power generation and limit CO2 from flaring, which are the two largest source of carbon emission. Solutions such as combined cycle power and carbon capture modules are ways to reduce CO2 from power generation. We saw the digitalization of FPSO we can improve operational performance at time and in parallel so that we reduce flare. Existing FPSO can implement some module from a eMission Zero program. However, we eMission Zero to be most effective when designed from stock. This is in order to benefit from our cost efficient Fast2Ward hull and topside catalog with standard component, supported by partnership agreement in the supply chain. Today SBM Offshore has sufficient technology and experience to start deploying eMissions Zero module. Market acceptance is key and we are inviting our clients to join us in the journey to a Zero emission. Now let's turn to innovate. Addressing the energy transition, we launch our ambition 2030 one year ago our ambition is to generate 25% of revenue from renewables and gas technology by 2030. SBM Offshore and the new energy and digitalization platform has dedicated product line teams working on developing new technology and products offering for example in the gas product line, the team is rapidly progressing in creating a new value proposition for the gas and power market and is developing solution in the LNG2WIRE and LNG Terminal market. In renewables we will be developing our project in floating offshore wind and a wave in the ocean. So to explain a bit on those two projects, we are leveraging more than 16 years of experience from floating production system in deepwater. What ensuring safety, sustainability and affordability of renewable energy. Our floating offshore wind solution was not developed overnight. It is based on our well-proven Tension Leg Platform technology. We transferred this technology from the ultra renewable business and we optimize it. Within the value chain, we are well positioned to create value for more high quality teams confirmed by your track record of delivery, both in EPC work and in operation. Looking at the development we're working on today, so on floating offshore wind we're working on the Provence Grand Large project from EDF. Four units 8.4 megawatt to be deployed offshore Marseille. The current status is that we're entering the procurement and construction stage of this project. On the wave energy converter, we're working on the project to deploy your prototype offshore Monaco. The current status is the completion of the design and fabrication of the sales section of the innovative S3 wave energy converter project at our lab in France. We expect to have a prototype in water by 2022. Key for the success of renewable technology will be a competitive leverage because of energy associated with reliability of delivering lowering cost and reduce environmental footprint. The execution drivers are similar to the ones in our traditional market and the core of SBM capability. To achieve all of these in the renewable market, and this realization of a project is essential. Within the design of our renewable product, we embed the principle of standardization, credibility and repeatability to benefit from economy of scale. Now, let's turn to our return to shareholders. The energy market has been volatile, and incapacity to return capital to shareholders is not a given. SBM Offshore is an exception to this for most foreign bank loan with a high cash flow conversion and our business performance. We have been able to realize a consistent growing dividend and on top of this, executed three buyback in the past five years. When taking our dividend proposal in 2021 into account, which is an increase year-on-year. We will have return it -- return more than a US$1 billion to our shareholders over a six-year period, which represents almost a third of our current market capitalization. It demonstrates the strength and resilience of our business model and the delivery of high quality teams. So I am turning now over to Douglas for going some more in detail in the financial. Douglas.
Douglas Wood: Thank you, Bruno, and good morning, everybody. So the exceptional events of 2020 could be said to have provided SBM with the ultimate stress test against which both operationally and financially, we've stood up well, a function of the hard work and ingenuity of our people and the quality of our business and cash flow model. As a result, we maintained our dividend increase and completed our share repurchase, totaling more than $300 million in aggregate plus delivered results in excess of initial guidance. Now, despite the market turbulence as a result of the pandemic, we were able to secure additional financing for projects under construction. And we ended the year with a $1 billion revolving credit facility undrawn, providing us with ample flexibility to fund future growth. Further, we've made progress with implementing new tools and structures to increase financing and cash flow optionality. Taking into account the circa $1 billion net increase in the backlog, we're proposing to increase the dividend by 10% to $165 million. So I'll come back on the new financing tools and structures and the analysis supporting the dividend in a minute. But first to review the key metrics for 2020 on a directional basis. Year-on-year 2020, showed an increase in both revenues and EBITDA. Both indicators were impacted by the same drivers. First destiny was added to the fleet at the end of 2019, contributing during the full year of 2020. And then second SBM purchased additional shares in 5 Brazilian FPSO in late 2019, which also contributed over the full year 2020. And these more than offset decreases in Turnkey caused by the fact that the balance of Turnkey activity was more weighted to projects to be transferred to the lease and operate portfolio where the associated revenue and margin will be booked post construction during the lease period. Then, as highlighted at the end of the first half 2020. Concerning the early redelivery of the Deep Panuke platform, we've adjusted for the accelerated recognition of revenue and EBITDA related to cash to be received in 2021. That had to be accounted for in 2020. And so as you can see on the slide, this amounted $77 million has been excluded from the underlying numbers for 2020. And we intended to add this back in 2021 on an underlying basis, in line with the associated cash flow. So reflecting all of these elements, underlying revenue of around $2.3 billion increased by 6% compared with the previous year, and underlying EBITDA of $944 million was up 13% year-on-year. On a pro forma backlog increased by nearly $1 billion to $21.6 billion and we'll go through the details on a separate slide. Finally, the increase in net debt of $0.6 billion is driven by the investment in growth we saw during the year. And this debt is linked to specific projects with repayment structures to match the cash flows they will generate from the backlog. Now to provide some additional details on the segments, starting with lease and operate. So for lease and operate again, the main factors for the increase in revenue and EBITDA above 20% on an underlying basis in both cases, realize a destiny during the fleet and the acquisition of the Brazilian FPSO minority share. Then onto Turnkey, underlying directional Turnkey revenue decreased to $669 million. This compares with $856 million in 2019. Although there was a high level of activity with three FPSOs under construction in 2020. Following the completion of the main EPC activities for the Johan Castberg turret earlier in the year, the balance of activity in 2020 move towards projects linked to lease and operate and therefore lower contribution to Turnkey revenue. Now on underlying directional Turnkey EBITDA, this decreased from $53 million in the year ago period to around breakeven at $9 million negative in 2020. And a year-on-year decrease from the lower activity in Turnkey linked to Johan Castberg turret was nearly offset by the ramp up on FPSO Sepetiba related to JV partnership. And then the impact of $40 million restructuring costs booked in Turnkey took the results to around breakeven. Finally, as we note at the bottom, on the corporate side in other, we see an increase in costs to $78 million dollars. And this year-on-year increase mainly resulted from one-off legal and tax expenses, restructuring costs and investment in the company's digital initiatives. And on the latter, we'll likely see a continued impact in 2021 and 2022 from these investments, which are expected to generate healthy positive returns, but with an expectation of a reduction in costs thereafter. Turning to cash flow on a directional basis. So here you can see that cash inflow from operations was more than sufficient to cover debt service and tax. We look at corporate operating cash flow as being net of debt service associated with the fleet given all of this debt is non-recourse. And we've highlighted the quarter operating cash allowance in green. And you can see that this was sufficient to cover the dividend. Then in terms of investing and financing activities, for ongoing core activities colored orange here, cash inflow from borrowings exceeded cash out towards investments. And here you see the impact of an element of our cash flow model that we highlighted last year, namely, the recycling of corporate cash invested at the initial stage in projects after replicable long-term project financing is implemented a bit later on. So this effectively generated additional cash flow at corporate level, facilitating the buyback and minimizing the draw-on cash to cover this in one-off items, resulting in a net cash reduction of $75 million over the year. Now to look at where we stand on the balance sheet and liquidity. And starting with the summarized version of the directional balance sheet, which is driven by the projects and financing linked to the contracted backlog. Construction activity on FPSO Sepetiba unity and prosperity has led to a growth in the lease and operate part of the balance sheet. Construction project that is directly linked to these projects and this financing will become non-recourse once the project's reach the operating phase. At the end of the year, the split between non-recourse operating project debt and construction project debt was approximately 70/30. Looking at the difference in assets under construction and construction debt, the majority of this is third-party working capital impact and then the financing to be implemented relative to the rest will contribute positively to our financing cash flow. Then on liquidity, looking at the pie chart, as at the 31st of December, we had $1.7 billion of liquidity with the RCF undrawn at year end. A financing for the FPSO Sepetiba is progressing and on closing will be used to repay the bridge loan, which is currently being used to finance the project. Now to focus on the backlog and the net cash flow to be generated going forward. The backlog increased from $20.7 billion to $21.6 billion. The key increases to the backlog relate to our projects in Guyana. We have the addition of the FPSO Prosperity following FID by the client in October 2020. This is a contractual two-year BOT project. So it adds to the blue lease and operate backlog in the first two years of operation with a purchase assumed in orange, adding to the BOT backlog in 2026. I say in principle, because it's communicated at the end of last year, we've commenced discussion with the client regarding the leases of FPOS in Guyana, which could have a significant impact on the timing of our future cash flow. As a result of these discussions, we no longer assume purchase of the lies of destiny in 2021. And we've reverted to reflecting its contractual duration of 10 years. And looking at the evolution of net cash from the backlog compared with the last version, where there was an orange bar the [indiscernible] in 2021, representing the earlier expected sale. This has now been smoothed into the blue lease and operate bars over the lifetime of the charter contract. Now pending conclusion of discussions with the client and of course project lenders, FPOS unity and prosperity are maintained per their contracts with the assumption of a purchase at the end of a two-year lease period. However, a material portion of the aggregate orange bars could change to lease and operate revenue growing this portion of the backlog. At the end of the year, we also agreed the extension of the charter of the FPSO Espirito Santo.in Brazil for a period of five years. This extension and the impacts from Guyana more than offset the impact of consumption of backlog by turnover during the year. But Important to note here, that we now show the net cash backlog on an after tax basis. We decided to change this due to two factors. First, the implementation of REPETRO, a new tax regime in Brazil. Second, the increase in waging of projects in Guyana, with destiny now reflected as a 10-year lease and then the addition of prosperity. Although both factors lead to increased tax revenues remain consistent with the assumptions assumed in determining the relevant charter rates. The net result is that the overall economics remain unchanged. On this after tax basis, average net lease and operate cash flow is $260 million for the 25-year period. In the appendix of the presentation, you'll also find the usual presentation of the revenue backlog and associated debt repayment profile. Finally, as per last time, we've discounted the net cash flows plus currently assumed cash from the sale of the BOT projects in orange also net of tax by the way, at a range of discount rates we observed being used by the financial community. We stated all the assumptions on the slide. But key to note that this only includes the in-hand projects in the backlog. It doesn't include any value for these extension options. And also for the avoidance of doubt, it doesn't include any future growth. So for a range of discount rates from 8%to 6%, you can see this gives a range of approximately €16 to €18 per share, which compares to yesterday's closing price of €15.36. Now, this range is the same as last time, notwithstanding the increase in the backlog. But the point to note is that the depreciation in the U.S. dollar exchange rates since last time from 0.9 to 0.83 resulted in a negative impact of around €1.50 per share. So you could add this back to get a like for like comparison. And the increase in lease and operate backlog facilitates the increase in dividends. But before covering the details of this, I wanted to spend a moment on financing and the optionality that we have around this. In past presentations, we have focused on the efficiency of the financing model for projects, allowing us to finance a significant part of the construction cost of an FPSO with debt. Today, I wanted to build on that and to focus on two areas where we've made progress in implementing new tools and structures to increase the options we have in financing growth and managing our cash flow. The first is around what we call backlog based financing. And the second, our ability in future to access specific pools of finance that target investment in renewable. Backlog based financing is the ability to raise debt and equity financing from the existing lease and operate backlog. This can be at portfolio level given we now have our funding platform in place, all through refinancing of individual projects, where we optimize the debt and amortization profile on existing facilities, helping to manage our cash flow profile and creating options to accelerate cash in value at corporate level. And together with our partners, we recently launched a bond refinancing of the project financing debt for the FPSO Cidade de Ilhabela in Brazil. This will extend the maturity of the debt from 2024 to 2034. Thereby in the short-term reducing principal repayment of debt and increasing the level of cash flow available to the Ilhabela shareholders with SBM Offshore owning 75%. The proceeds of the bond will be used to repay the existing bank lenders. In principle, allowing them to recycle these funds into future project debt required for the anticipated FPSO growth in Brazil. In addition, net of fees, the sizing of the bond is approximately $280 million higher and the outstanding loan meaning that this amount of cash will effectively be accelerated to the shareholders 75% SBM share. We've seen strong demand for the bond, which was trading at a yield of a bit below 5% yesterday. Now there are additional project level refinancing opportunities that we are currently exploring. And we're also reviewing the possibility of developing a financing tool at portfolio level that would provide additional optionality to accelerate cash flow. And of course, just for completeness, we also retain the option to further sell down equity at project level. Finally, on the philosophy for funding new energy projects, we envisage the gas and renewables projects which materialize will either be on a turnkey basis, or financed on a similar basis to lease and operate FPOSs So in other words, not requiring a major draw on cash flow from our existing core business. Although we could pursue small scale M&A to accelerate our technology roadmap or to enhance access to the pipeline of opportunities. In order to be able to raise financing for renewables projects in the future. As shown on the slide here, we've now established a renewable energy platform company, which will also give us the flexibility to raise dedicated renewables financing at an attractive cost of capital, either at the project levels below it, or to the extent major growth funding may be required at a point in the future at platform level itself, for example, the future commercialization of our wave energy converters. So the combination of backlog based financing tools and the renewables platform gives us a good deal of flexibility in being able to manage our cash flow in order to optimize both cost of financing and access to the broadest possible pool of liquidity. Now looking at where we stand on contracted cash flow in the short to medium-term. As per usual, we have mapped out the average cash flow related to the backlog for the next six years being two construction cycles for the average FPSO. And we're using the same model where the starting point is cash from lease and operate, where this time, we simply use the net cash flow shown earlier. So that's net cash from lease and operate, after overheads, debt service and also now tax. Then we allocate all corporate overheads to lease and operate on the basis of an assumption of $17 million. Putting all this together results in $270 million per annum, net cash generation on average over the next six years before dividend distributions, noting that the lower level in 2021 is compensated by future years. We look at this in-hand future cash flow, which does not include future rewards as effectively underpinning the sustainability of and also possible growth in future dividend contractually secured with very long visibility. As in the past, the assumption here is that Turnkey can be at least neutral and based on the Turnkey backlog as presented today, including the BOT, Turnkey is positioned to be about self sufficient for the majority of the period including tax. As I've mentioned, the discussions on the Guyana lease durations could have a material effect on the phasing of the backlog. Moving portions of the currently assumed near-term Turnkey BOT backlog into the future leads and operate portion of the backlog. Of course, though, we're aiming to add more projects to the Turnkey backlog. Also, as just discussed, backlog based financing will give the flexibility to accelerate cash flow to equity, which can then be used to cover any costs in Turnkey or corporate investments to the extent necessary. As such then we've got the ability to manage and mitigate possible impacts on the available in-hand cash flow in the short to medium-term. Dividend policy is to pay a stable dividend which grows overtime. And we've linked growth in dividend with growth in the in-hand lease and operate backlog. Now there are a few moving parts on Guyana to be confirmed in the coming year. And obviously a material part of the backlog relates to projects under construction which remain to be finalized. But nonetheless, based on the current result in lease and operate and underpinned by the growth profile in our lease and operate backlog, we are proposing to increase the aggregate dividend by 10% to $165 million, which gives at [$0.89] per share. Compared to yesterday's closing price of €15.36, this represents a yield approaching 5%. As you see in the chart on the left here, since we started paying dividend in 2016, we've generated an average annual growth rate in shareholder returns are approaching 35%. In the coming years, new awards and backlog based refinancing could add up side in the short to medium-term. We will look carefully going forward at such potential impacts. And this respect, our approach to shareholder returns and capital allocation remains the same. Having funded growth in the dividend we retain the option to use excess cash for buyback. Then looking at the right hand chart, you can see the development of the share price over the same period as on the left hand chart shown here versus the OSX, Oil Services Index, as well as the AEX and MSCI Europe Index. And we believe this demonstrates that SBM Offshore is clearly differentiated from the oil services sector, particularly when you look at the past two years, with the focus on shareholder returns, underscoring our positioning in ocean infrastructure. As just discussed in relation to the analysis of the current backlog and its potential evolution, there is upside to further grow returns, we see our strategy delivering further additions to the backlog with progressive reduction in its carbon footprint. First from growth in our core business leveraging the principles of Fast4Ward and eMission Zero. Second, from using our expertise in floating energy to play a role in the energy transition and bring new floating energy solutions. So we're therefore evolving as an energy infrastructure company with the experience capability and track record to add, execute, finance and operate new growth opportunities through the energy transition. That's it for me now back to Bruno.
Bruno Chabas: Thank you, Douglas. And let's now turn to the outlook before we open the floor for question. Our guidance for 2021 in the directional revenues of around 2.6 billion, with around 1.6 billion from lease and operate activity and around a billion from Turnkey. Guidance for 2021 directional EBITDA is around 900 million. This includes 77 million revenues and EBITDA for Deep Panuke to be receiving cash in 2021. It also consider the county facing COVID-19 impacts on project and fleet operation, while we know the ongoing uncertainty with respect to the COVID-19 crisis. I would like to conclude with a summary. SBM added another very good year to his track record. Despite COVID impact, financials came Intel guidance. The financial results and the associated quality of our operational track records are traded to our currency and world class management and personnel. On backlog provides unique visibility on our ability to generate cash leading us to the proposed dividend increase. We maintained our positive outlook for deepwater oil developments even under stress scenario in which pressure – which -- in which the oil markets will remain. For experience or unique offshore technology and our progress in developing new products offering in gas and renewables SBM Offshore will play an interesting active role in the ongoing energy transition transformation. So all of these conclude the prepare portion of our call. We will now opening the floor for your question. Thank you for listening.
Operator: Thank you, sir. Ladies and gentlemen, we will start a question and answer session now. [Operator Insructions] And the first question is from Mr. Henk Veerman, Kempen & Co. Go ahead, please, sir.
Henk Veerman:
team:
Bruno Chabas: Okay, so that's clear. As you know, there are lots of things which are coming into play in the Turnkey and in particular, the fact that we don't organize a lot of margin on this, but Douglas do you want to go through the detail of it?
Douglas Wood: Yes. So, yes, morning, Henk. And a part of it is obviously, the other corporate overheads where, as I mentioned, for this year and likely the next year, we'll see them a bit more, a bit higher than usual. And that's a function of some of the investments that we're making on the digital front, which have very good payback and after that period, we'll see it trending down. And then really, it's the point that Bruno just mentioned, we're very busy in Turnkey. But again, this year, what we're going to see is that that activity is geared towards projects that have either got 100% or majority ownership. So that really explains the difference there.
Henk Veerman:
loss:
Douglas Wood: Yes. So if -- I'll take this one. Douglas again. So yes, I mean, indeed, the point is, we're having discussions about the leases, we need to see where they result. I think overall, relative to the backlog, I mentioned that we have, still, of course, the ability to sell equity. But I think what I'd also highlight in terms of managing the overall cash flows is the refinancing that we just done on Ilhabela. So that kind of refinancing is a very cost effective way of accelerating equity, cash flow, and that then gives you options for financing projects other than needing to work to have partners.
Henk Veerman: Okay, last question is on the offshore wind market, where you give a sort of long-term, quite a favorable long-term outlook on the market. Do you expect to rally commercially tender for projects this year or is this year or this year too soon?
Douglas Wood: It's rather 2020 to 2023.
Bruno Chabas: So at this stage, what we're doing on the offshore wind market is obviously finalizing the prototype and putting it to offshore. In the same time, we'll also capitalizing on the learning that we're adding and simplifying what we're doing in order to be ready to pretend for some pre-commercial or commercial form. Now, there are going to be some projects which are going to be coming during 2021. But I really suspect that most of the commercial activity will take place in 2020 to 2023.
Henk Veerman: Okay, that's clear. Thank you.
Operator: The next question is from Mr. Thijs Berkelder, ABN AMRO. Go ahead, please.
Thijs Berkelder: Yes, good morning, gentlemen. Coming back on the guidance outlook, do you roughly indicate what kind of COVID related costs you're at this moment building into that guidance for 2021?
Bruno Chabas: Douglas do you want to go through this?
Douglas Wood: Yes. So indeed, we're focusing on keeping personnel safe and also maintaining our operational performance. We have incurred extra costs, in operations and on projects. In operations, some is reserved reimbursable. Others, we need to work to cover ourselves. On the project side, we've been working with clients and suppliers in order to mitigate the impacts on costs and also delays. And all of these impacts are incorporated in the overall financial results. As we presented today, EBITDA came in as guided. Looking forward and we're incorporating what we've learned in 2020. And we're assuming kind of a similar level of impacts from COVID on the financials for 2021.
Thijs Berkelder: So that’s again, roughly 50 million or so.
Douglas Wood: I think it's in line with what we have in the results for this year.
Thijs Berkelder: Yes. Okay, clear. Then I have a question on your Slides 28. The pro forma enhance lease and operate cash analysis. This six-year average or the six-year average numbers are substantially higher than the ones you gave a year ago. So this seems to show that you have a much stronger fundament for paying out dividends and much more room for this event and the 10% communicated today. I assume this is -- this slide is based on average revenue, so 1.5 billion per annum. If I then look at your Slide 34 it’s obviously and then really exclude the BIT sales in that pro forma analysis already. Is that right?
Bruno Chabas: That's correct. Yes.
Douglas Wood: Yes, that's correct. Yes.
Thijs Berkelder: Yes, so this is really is -- although being much higher than the previous one, still very conservative. And another one is you are now indicating only corporate overheads and leaving extra weight? Can you maybe communicate what is happening on the tech side at SBM Offshore? What kind of tax rates should we use and also in this picture? What is the outlook?
Douglas Wood: Tax effect.
Bruno Chabas: So Douglas would go more into detail on this. But as was mentioned, the tax now is incorporated into the operating expense. But Doug that go through this more.
Douglas Wood: So, what maybe first just I -- your real reflection and suggestion that, the dividend increases is conservative, I think to start with now, as you saw over the past year, since we restarted the dividend, we have returned on average annual growth of coming close to 35% per annum. Now, our dividend policy is to pay a stable dividend that grows over time. Now, I think one of the key points to note here is that, as I mentioned, there are still some moving parts in the backlog. Yes, we need to finalize discussions on the Guyana leases. So yes, that's an important component to nail down or going forward. I think, yes, the other point you can see on the chart that -- 2021 is bit on the low side within the benefits to come in the future. But those again, are driven by projects, as I mentioned. Some of that is related to projects that are still under construction and need to be finalized. So yes, we think 10% is a very appropriate increase given the overall context that I just painted. Then you had some questions around tax. So what we've done now is we're moving towards rather than giving you kind of individual components of the of the backlog and then you do your own work to sort of figure out what the cash flow is going to be. We decided to do the work for you. That's why we prepared the net cash chart. And as I mentioned, because there are a number of reasons, taxes going up in line with expectation no impact on the economics, but we just decided to include the tax impact. And tax impact in SBM is mainly in lease and operate, we decided to include that in the net tax return. So that is in the average net cash from lease and operate that's included in the chart. Then I mean there is some small tax impacts here and there on the corporate side in our Turnkey modeling which again for the purposes of this model, we say conservatively Turnkey should be at least neutral for the majority of the period that includes any tax impacts.
Thijs Berkelder: Okay. That's clear. Now to me, but still the average net cash generation even though using a very conservative revenue outlook is 55% higher than what you communicated a year ago. So I hope this is a clear sign for dividends next year. We'll see here.
Philippe Barril: Yes. So next question is more focused on negotiations ongoing, what roughly -- can we get a rough feeling for Buzios 6 on timeframe timing negotiations, et cetera. And maybe on new contract then there's kind of situations in Guyana.
Bruno Chabas: Okay, let's let me take this Philippe if you want to add something you give me a sign? So if we look at Buzios, as we noted and as we made the market aware and this was major market aware. We have been within the direct negotiation and direct discussion with the clients on this subject. The timing is really not depending on us. The timing is really depending on the client's, on the evolution and really cannot comment on that. That's really more for Petrobras to provide you some guidance on this. Now, if you look at the market at large, you can see that we mentioned that there are 25 opportunities in the market in the coming three years. We can see opportunities coming, obviously in Brazil, obviously in Guyana, we can see opportunity also in Surinam, we can see also opportunities which are starting to develop in Western Africa. So what I'm saying that it's not only one market where opportunities are rising. Now, the timing for those sorts of opportunities is highly valuable and evolving almost on a daily basis. So focusing on any one of those opportunity, I think is a bit meaningless at this stage. What is more important is a macro picture of the deepwater market, and the fact that this market is quite resilient to the situation award points.
Thijs Berkelder: Okay, clear. Thanks.
Bruno Chabas: Thank you.
Operator: The next question is from Mr. Luuk van Beek, Degroof Petercam. Go ahead please, sir.
Luuk van Beek: Yes. Well, my first question is on the new energies. Can you update us on the level of investments that you expect in the coming years? And to what extent there will be a significant impact on the P&L in 2021?
Bruno Chabas: So in terms of investment, as we mentioned, our R&D budget is going 50% -- in 2020 was over 50%. In the new type of energy business, this time this is going to increase and probably going to go more towards 75% of the CapEx expenditure. Now, the CapEx expenditure, if you look at our history has been a constant over the years, somewhere in the range of $25 million to $30 million [indiscernible]. So really no change there, on this aspect. The second part is, it is a market, which is really starting, where there's going to be opportunities and growing on the opportunities. We're looking at it carefully. We're looking at it on opportunities where we can generate value for stakeholders at large. And that's the approach we're going to have. Doesn't mean that the time you're going to have to make some investment, small investment potentially. But this definitely is not going to impact the overall cash flow generation of a company and the ability to provide dividend to all shareholders.
Luuk van Beek: Okay. My second question is on the financing. Yesterday, you announced the $850 million note for Ilhabela. To what extent do you expect the mix of financing to change in the future? And will that have an impact on the cost of financing going forward?
Bruno Chabas: So Douglas why don’t you explain on the optionality that we're creating in our financing and the opportunity that we generate for us?
Douglas Wood: Yes. So yes, thanks for the question. I think we're very pleased with the high level of demand that we got for the bond. And where it's currently trading? And, yes, I think this opens up and solidifies the availability of a new tool for financing our projects. It's really helpful to have this particularly in Brazil, where, there's a lot of opportunities that require financing. So traditional sources of financing while we're certainly still available, they're not finite. So what has enables us to do, as I said, is to recycle some of the cash from the existing projects make it available for financing by banks of our upcoming projects. And I -- he other options that this provides us with is the ability to raise finance to fund our equity share, for example of new projects, and we have quite a lot of those, where we're doing 100 -- at 100%. We can finance those at a very attractive cost when you compare to your cost of selling equity and projects. Now, as I have mentioned that the answer to another question, likely, we still do use equity funding of projects because often our equity partners bring access to finance, which is very helpful. So I continue to see this do a mixture of those but -- yes I know, I think it's really good from multiple perspectives that we've opened up access to the bond market. And as I mentioned, we see other opportunities at project level to do more transactions like that.
Luuk van Beek: Okay. And my final question is on the topside standardization. Can you give an update on say the percentage of standardized topsides in -- how it's progressing over time? So do you see increasing opportunities with the new tenders that you're preparing? Can you say something about that?
Philippe Barril: What I can tell you is about the Fast4Ward program. We started this in 2014, we're starting to see the benefits of it. And actually, they become one of the external way of looking at it. It is a fact that, despite the fact of the COVID crises were able to maintain the planning by and large. And this despite a lot of impact on the construction side, and a lot of impact on due to COVID. Now, my view is that we're already at the beginning of what can be done there. And that we're going to be able to go through the learning curve on the different units as we develop them. The reality of this is going to mean that we're going to create more reliability in the delivery of these assets. And when you look at the FPSO market, you can see the statistics from the year then which doesn't improve in the coming -- in the current year, that only 30% of FPSO are delivered on time. So reliability is a big component of generating value to our clients, and obviously making deepwater economics. So we already believe that so first of all, we're going to increase the reliability. And as you increase reliability, you're already seeing increase costs. But its only -- that's why for 2021 before we can provide more granular guidance on this subject.
Luuk van Beek: Okay, thank you.
Operator: The next question is from Mr. Andre Mulder, Kepler Cheuvreux. Go ahead, please, sir.
Andre Mulder: Good morning. Handful of questions. Firstly, on this Ilhabela refinancing, that's looked to be the most probable. Where do you see other possibilities there because most are quite small or already have long-term financing? So where do you see the possibilities in the current portfolio? Secondly, this amount of $260 million after tax, the $240 million is before tax. So how would that look comparing apples-to-apples? Question on the Liza 1. It's now considered a 10-year lease. It means it is now taken into calculating the room that you have in the yards [indiscernible]? A question on the floaters that will come off contract in '22, any news on those contract extensions? And last, where do you stand in terms of the talks on the Sepetiba loan?
Bruno Chabas: Okay, so I propose that Doug to go through the all the financial question. With regard to extension on contract, if and when they come we obviously advise the market and that was the case at the end of 2020 when we made the announcement on the Espirito Santo extension. So the same would apply on the other, if ever this were to apply. Douglas do you want to go through the three financial questions?
Douglas Wood: Yes. Okay, Good morning, Andre. So on -- yes, Ilhabela opportunities to do more things. There are a number of opportunities, specifically in Brazil. Now, whilst indeed, some of our more recent projects have long-term project financing, the point is really that, the period of the leases is much longer than the debt period. So we've got around 20 year leases. So that gives you the option to do kind of longer term bond financing, even on some of those newer vessels. You're asking about the 260. So now, it's after-tax, I mean what I would say is this -- what we're going to focus on now. But of course, yes, if we'd done it, pre-tax number would have been higher. But we were -- we want to move just to the average cash flow on a cash basis. I think that's the most useful, because that's the cash we're going to see in the bank at the end of the day. Then on the 10-year lease and the RCF, yes, we include that in the backlog cover ratio for the for the RCF. You then asked me about Sepetiba? Yes, so the financing, it's progressing. As I've mentioned before, there are a lot of parties involved. It doesn't help that you have to do everything on the remote basis. It makes coordinating meetings with multiple parties more challenging. But we're progressing in line with expectation.
Andre Mulder: Should we see a conclusion already this year or will it be stretched to next year?
Douglas Wood: Of the finance -- yes that’s the expectation, yes.
Andre Mulder: For this year?
Douglas Wood: Yes.
Andre Mulder: Okay. And then the question on the $260 million and $240 million, my question was what -- I know that your new basis is now after-tax, but how would like that $240 million of 2019 look like on an after-tax basis?
Douglas Wood: Yes, now, I think I mean, we're -- as I said, we don't want to do like loads of reconciliations with different numbers. We've got a new basis, and it's after-tax. That's what we're going to use going forward and is $260 million.
Andre Mulder: Okay. Thanks.
Operator: Your next question is from Mr. Quirijn. Mulder, ING. Go ahead, please.
Quirijn. Mulder: Yes, good morning, everyone. Can you hear me?
Bruno Chabas: Yes, we can.
Quirijn. Mulder: Okay, good. My first questions about the 6 hull, knowing that you are building number four, and number five, you have decided on number six. And in my view, you are not willing to have three hulls on spec. So I'm very interested what your plans are with number six, given the number four and five are probably not earmarked. That's my first question. And then my second question was about, yes, you have some extra overhead costs. And you mentioned tax and legal. When it comes to legal, I'm somewhat alarmed. So maybe you can you tell me what is -- what were the legal costs about and what yes -- what is it's a specific project or is there some alter something which has to do with the past? That were my two questions for this moment.
Bruno Chabas: Yes, okay very clear. Thank you. So when we look at the overall market and our positioning is overall market, we make decisions about COVID-19 of resources, including the MTF hulls. So based on our view of the market, the engagements we have in the number of projects, and the positioning, we thought it was the right time to make a commitment for the six hulls, and that's why we have done so. This is well within risk profile that we have assessed as a group and well within the strategy that we have in order to position ourselves into the growing deepwater market for large tonnage. Now with regard to the overhead, Douglas, do you want to go through the detail on this?
Douglas Wood: Sure. Yes, morning Quirijn. So as he said that, there was a whole mix of factors involved that are not really particularly large, individually. Yes legal costs nothing special in that regard. Tax was due to some internal refinancing that we did with one of our subsidiaries so.
Quirijn. Mulder: Okay. And you mentioned in the presentation that the tax rate goes in Brazil is going up or is changing? Is there maybe something to tell more about it?
Philippe Barril: Yes, I think well, on that one, there is there's a change in tax regime in Brazil, it results in the payment of more tax, but that kind of change was contemplated in the contracts that we have. So yes, no impact on the economics.
Quirijn. Mulder: Okay, thank you.
Bruno Chabas: Erik, maybe you want to expand on the legal side?
Erik Lagendijk: Yes. Just to confirm, our spend on legal is coming down significantly, as the all the legacy stuff is put behind us our no reason to be alarmed.
Quirijn. Mulder: Thank you.
Operator: The next question is from Mr. Nick Konstantakis, Exane. Go ahead, please.
Nikolaos Konstantakis: Hi, guys, and thank you for taking the question. I'll start with a couple of please. I'm looking at your Annual Report and the risk assessment, you're doing the materiality. And I was intrigued by the fact that you have the competitiveness that risk is diminishing. Can you just expand a little bit on how you're seeing the competitive environment? Because from the outside somebody would argue that new entrants are winning work in Brazil, Guyana headlines, which we have seen on the industry press, competitors, trying to replicate your Fast4Ward. So can you just think or explain to us please how you're thinking about the risk? And how do you think has changed relative to competition? And then a tedious one, apologize, but just trying to understand a bit better the guidance on the currency and the billion dollar revenue? Could you give us roughly an idea of how much is coming from the 100% own FPSOs? And then lastly, I guess and apologies, you're making us be a little bit greedy, given the, the shareholder return track record? Did you consider allocating any of the cash from the additional refinancing to a mini buyback or do you just need it for the internal growth? Thank you.
Bruno Chabas: Okay, so thanks for those questions. If we were in the competitive environment, what we're seeing on the competitive environment, there is still a lot of competition on this. Now, what we believe also is that in order to be competitive in FPSO market, you need to provide value to the client. And we believe that such that what we're doing and the learning curve or going through Fast4Ward, what is positioning SBM Offshore quite differently from the rest of the traditional contractors in this market. And more as time is going to go by, I would imagine that the learning experience that we're getting through this is going to provide quite a unique positioning to SBM Offshore. Now, it doesn't mean that the competition is lessening. And so as I often say that if you want to become a millionaire, in the FPSO market, you need to start with a billion and get one or two projects. And this has happened throughout the life of the market, and is still happening at this stage. So the competition is always going to be there, and people willing to lose money are always going to be there. And that's part and parcel of what is on the market. But what I'm saying is that experience of SBM Offshore, the investment we're doing on Fast4Ward. The value was generating to our clients, which is the key point at the end of the day, is really to be able to deliver for our clients to for them to generate value is really second to none in the market. Now on the two other points, being greedy or not and some of the points Douglas you want to go on this.
Douglas Wood: Yes. So I think the -- in Turnkey, yes, we have quite a component of the revenue without margin. Some of it is a function of, the Gate POC mechanism that we have, other projects we're getting some direct payments, which we collect during construction. So, I mean, that's gives you the sort of mix there. If I turn towards the question on the, on the buyback? Yes, I mean, I think, again, over the past six years or so, we've been had quite an impressive return, we need to look at a number of things going forward, as I mentioned the moving parts in the backlog, we've got to nail down. We've got quite a few large projects still under construction that got to be finalized. And we own, majority of 100%, in the case of 260% in the case of the other very good financing model, but, there's a remaining amount of equity, that requires funding, and that can be a reasonable amount, particularly when you consider the larger FPSO size. I said, looking at the cash flow, overall, it's a sort of a lower year of cash in 2021 with anticipation in the future. So where -- we think the 10% dividend increase in the context of everything that I mentioned is very appropriate. But just to be clear, we're not changing our capital allocation policy. So the priority of growth, the stable dividend, and then there is an option to use cash for further buyback. We're very disciplined about how we manage our balance sheet and liquidity. And we continue to -- we intend to be sell in the future.
Nikolaos Konstantakis: Thank you very clear.
Operator: The next question is from Mr. Mick Pickup, Barclays. Go ahead, please.
Mick Pickup: Good morning. Can you hear me?
Bruno Chabas: Yes, we can.
Mick Pickup: Couple of questions [indiscernible] bit earlier in the call. Please talk about the compressor issue in Guyana. If there's any financial impact of that, I may have missed that. Secondly, on the renewables and lower carbon activities, obviously, you moved it forward on those. Can you talk about the returns you're expected to make on those renewables and those ocean infrastructure projects? I'm looking at the net Zero SPFO, clearly, you're creating a lot of value for your clients, those carbon taxes [indiscernible].
Bruno Chabas: Okay. And I'm sorry, the first question on Guyana and I missed part of it?
Mick Pickup: Yes, is there any financial impact this year, which is included in numbers because of the Guyana compressor?
Bruno Chabas: Okay, so the Douglas, you will take this one. Now with regard to the value of eMission Zero, and now we're taking parts of the value of this. At the end of the day, when you look at the energy environment, and in particular the oil environment, we're still going to need oil, regardless of the profile of the oil demand in the future. The question is, which fields are going to be developed, and in our view the field, which are going to be developed are going to be the lowest, the one with the lowest cost and the lowest impact in the environment. So we believe that working through Fast4Ward and eMission Zero is one way to help our client to develop some of the assets and we need to remain for years to come. At the end of the day, its going to generate value for them, but it's also going to generate value for us. Either an equation to share the value in between our clients and ourselves. Not that scientific, but helping generate value to our clients is really what we're aiming at doing there. Douglas you want to take the question on…
Douglas Wood: Yes, so we met the performance test the unit end of last year, so the compressor issue, it's a warranty item, and we took account of that in the financials for 2020.
Mick Pickup: Okay, well, can I just on the Turnkey 1 billion of revenues. I'm struggling to find what adds up to 1 billion of revenues this year. Can you just talked about Turnkey component?
Douglas Wood: In Turnkey, yes, sorry. I was I -- yes. So the 500 million from the backlog, which we just explained in relation to the other question and then every year, there's always a bit of activity that we see coming a bit higher this year than maybe in the past. But that's where we see things right now. Yes, the beginning of the year as always, as necessary we keep you posted on any changes as the year evolves.
Mick Pickup: Okay, thank you. And have a good year.
Douglas Wood: Thank you.
Bruno Chabas: Yes. Thank you.
Operator: Your next question is from Mr. Thijs Berkelder, ABN AMRO. Go ahead, please.
Thijs Berkelder: Yes, hi. Me, again. Coming back on the Turnkey guidance in the revenue guidance of $1 billion. Am I, as you already include work on the Buzios project, but not yet an entry of an equity partner there?
Bruno Chabas: We're not that specific. What we're saying is, every time when we provide guidance, we assume a certain level of order intake during the year. And don't [indiscernible] that assumption behind. So those assumptions are not included in the guidance obviously.
Thijs Berkelder: Yes. But your Turnkey guidance is almost two times as high as a year ago. And last year, you already worked on Prosperity. That clear. Then another question is from transborders. They communicated quite a lot on their FLNG plans, but also on Australian CCS project. Can you maybe explain whether you are involved in the CCS project?
Bruno Chabas: Yes, we actually last year, as announced that, we were working on the preceding project with them. So what is on news -- the announcement that they have made is really associated with a number of other contracts, that they are plugging into the project. And therefore, we came back into the news on the subject, but really false, no changes compared to last year.
Thijs Berkelder: Okay. Clear then maybe a question or remark on your net debt it’s on the front page showing for $4 billion. But the net debt that includes the debt you're taking on the holding for assets under construction of 1.7 billion aside? I've seen this slide just a while ago. So isn't it may be smart to also highlight the amount of value which is built into in the construction next time, it maybe helps some investor clients to do to understand why the debt is so high.
Bruno Chabas: Douglas do you want take that one?
Douglas Wood: Yes, we give you the answer on the construction and we show the debt associated with that. And I think actually, more debt for SPB is actually a good thing. And as much that we're really only borrowing to support specific new projects that are going to add to the backlog. So in the past, we've showed you some charts that show yes, the debt relative to the backlog and I think that's really the best way to look at it. Now we're investing this money we're financing it in a very efficient way. And in return, we -- it's going to deliver contracted cash flow going, going forward. And as we add more projects, then we're going to increase that net and lease and operate increase that net cash generation that you see in the backlog chart that I presented.
Thijs Berkelder: Yes because I simply have the impression that there's a lot of clients, maybe also analysts don't take those assets in construction in their simplistic easy EBITDA ratios. But 1.7 billion on your market cap is huge, of course. So that's, that's why the comments. Maybe a follow up question on projects, potential projects, both in Guyana as well as in Brazil CNOOC is a minority shareholder of important fields. Do you see and feel in any way that that the U.S. sanction list for CNOOC is now – bringing a threat to these projects or threat of delay for these projects?
Bruno Chabas: We are not saying that. no.
Thijs Berkelder: Okay. Thanks.
Bruno Chabas: Thank you. Last question.
Operator: The last question is from the Mr. Andre Mulder, Kepler Cheuvreux. Go ahead, please.
Andre Mulder: One last question, just a few. Firstly, yes. So surprising that you're far more positive on the Turnkey development there. And any type of work that you had to take into account? Secondly, for the Liza 1, there seems to be a problem with the compressor, does that have any impact on your [indiscernible] insurance or so? And on the RCF, the $1.7 billion…
Bruno Chabas: That's one question?
Andre Mulder: Yes [indiscernible] this is the last one. The $1.7 billion. I assume that does not include the net cash effect that you get from the Ilhabela. That is a timing difference. So I should add that to the $1.7 billion?
Bruno Chabas: Okay. So Douglas, do you want to take question on the half year and the original question and Philippe if you want to speak about the Liza Destiny.
Douglas Wood: Yes, the in terms of the balance sheet, there's, obviously we just did the bond refinancing. And so that's not taken into account there.
Andre Mulder: Okay.
Philippe Barril: Thank you, Andre. So talking about there is….
Bruno Chabas: Before you go into this, there was also a clarification on Turnkey guidance Douglas?
Douglas Wood: I think relative to the 500 million what is it? And yes, we've said that as ever a lots of things that happen. I mean, we have potential feed contracts. There's all the work in the offshore contracting in Monaco, and, other things and yes, for sure it's bigger than this year. We're not going into the details of that. And we'll keep you posted. In case there's -- we see any changes as they develop?
Philippe Barril: So, Andre talking about Destiny performance, I would start by flagging the over 500 days without recordable accident achieved by the crew since the FPSO arrival in Guyana its remarkable performance. Since our last quarterly update, we have achieved the performance test of the units for all system in December. Oil production is today at nameplate capacity, and we are currently rejecting 88% of the gas produced, following a failure of the third stage of a flash gas compressor, it means that we are flaring around 16 million square per day. We feel sorry for that situation. We taking emission very seriously as shown and discuss on the result of the fleet and under focused in particular on flaring. The disassemble short stage has already made its way to Germany. It's at MAN Turbo, a very reputable equipment provider. All the attention of SBM expert excellent months are on the matter. We will be working 24 hours seven to repair the unit within a target of approximate eight weeks. This is still the contingent on this section which is -- has just started. As mentioned by Douglas before this is strictly a warranty topic and SBM will honor its warranty, and it has been provisioned for.
Bruno Chabas: For more updates. I would invite you to follow the very regular media conference from [indiscernible] in country.
Andre Mulder: Thank you.
Bruno Chabas: Yes. Okay, I believe there is no more question at this stage. So I search -- I propose that we close this call. We would like to thank you all for your attention, and you can now resume a normal activity. Thank you very much for your attention. Bye-bye.
Operator: Ladies and gentlemen, this concludes the SBM Offshore event call. Thank you for attending. You may now disconnect your line. Have a nice day.